Paul Beaver: Hello and welcome to Karooooo's Fourth Quarter and Full Year Fiscal 2025 financial results presentation. On behalf of Karooooo, we would like to thank you for joining us today. I'm Paul Beaver, Karooooo’s VP of Investor Relations and Strategic Finance. We are joined today by Zak Calisto, Founder and Group CEO; Hoeshin Goy, Chief Financial Officer; and Carmen Calisto, Chief Strategy and Marketing Officer. I would like to remind everyone that some of the statements that we make today regarding our business, operations and financial performance may be considered forward-looking. Such statements are based on current expectations and assumptions. They are subject to a number of risks and uncertainties. Actual results could differ materially. Please refer to the Safe Harbor statement in our Form 20-F, including the risk factors and the 6-K that we filed yesterday. We undertake no obligation to update any forward-looking statements. During this call, we will present both IFRS and non-IFRS financial measures. A reconciliation of non-IFRS to IFRS measures is included in the 6-K that we filed with the SEC yesterday. Our comments will refer to year-over-year comparisons unless stated otherwise. Before handing the call over to Carmen, we'd like to present a six- video of our SaaS platform to illustrate the depth and breadth of our platform's capabilities. [Video Presentation]
Carmen Calisto: Welcome to Karooooo's Q4 and full year fiscal 2025 financial results presentation. We hope you enjoyed the demonstration of our SaaS platform. For those new to Karooooo, we operate a SaaS platform for connected vehicles and mobile assets that enables businesses to enhance operational efficiency, reduce costs, improve safety and ensure compliance. We help businesses across industries simplify decision-making to optimize their physical operations. We serve a large underpenetrated market with strong sustained demand driven by digital transformation, a constant need to improve operational efficiency and an increasing focus on safety and compliance. As a founder led business, we have a strong financial profile, a proven track record of execution excellence and a cultural focus on disciplined capital allocation. Our platform supports more than 2.3 million subscribers across more than 125,000 businesses in South Africa, Southeast Asia and Europe, spanning industries such as logistics, mining, agriculture, construction, retail and the public sector. Our financial model is anchored by high margin subscription revenue and robust customer retention. We continue to scale our proprietary data asset now generating over 200 billion data points monthly which we leverage to drive actionable insights for our customers and long-term customer value. During our presentation, we will review both of Karooooo's operating segments, Cartrack and Karooooo Logistics. Cartrack is our operations management SaaS platform. Cartrack operates at scale and has a very attractive financial profile. Cartrack's operating momentum has primarily driven Karooooo's growth and strong financial performance. Cartrack's momentum continued in FY '25. In FY '25, Cartrack generated ZAR4.1 billion in subscription revenue, an increase of 15% or 19% on a US dollar basis and Cartrack's operating profit margin was a healthy 31%. Karooooo Logistics is our rapidly growing delivery-as-a-service business that empowers large enterprise customers to scale their ecommerce and logistics operations. Karooooo Logistics is a structurally lower margin business in Cartrack, showing strong growth momentum. Karooooo Logistics is strategically important to us as it empowers our customers to scale their ecommerce and logistics operations through a capital light model while driving high Cartrack customer retention. We continue to profitly scale the Karooooo Logistics business in FY '25. In FY '25, Karooooo Logistics delivery-as-a-service revenue reached ZAR420 million, an increase of 33% or 37% on a US dollar basis. Given Karooooo Logistics robust revenue growth, we are very excited about the long-term growth opportunity for the business. Karooooo exited FY '25 with growing momentum despite a fluid macro backdrop. In Q4, ZAR120 million, an increase of 16%; subscription revenue of ZAR1,086 million, an increase of 16%; and adjusted earnings per share of ZAR9.48, an increase of 39%, while delivering profitable growth at scale. In Q4, we were a Rule of 60 company when adding our Q4 subscription revenue growth of 16% and our Q4 Cartrack adjusted EBITDA margin of 48%, operating profit margin exceeding 17% and operating profit margin of 34% remained robust in Q4 and underpins our stellar financial performance. It's noteworthy that the Q4 Cartrack subscriber growth rate of 17% was consistent throughout FY '25 and represented a 200 basis point acceleration versus FY '24. Also, Cartrack's FY '25 operating profit margin expanded modestly while FY '25 subscriber growth accelerated. Before detailing our Q4 business and operational accomplishments, we want to take a moment to underscore our distinctive financial profile, something that is exceptionally rare in the public markets, particularly among small cap companies. We believe we are among a select few SaaS companies operating at a rule of 50 plus based on 2025 GAAP street estimates. Notably, within a SaaS universe of approximately 160 companies, we believe we are the only small cap company operating at this level. Being part of this elite group reflects our unwavering commitment to disciplined and profitable growth. In Q4, Cartrack's total subscribers increased 17%, highlighted by stable growth in South Africa and 100 basis point quarter-on-quarter acceleration in Europe. Net subscriber additions were strong and increased 25% and 30% in Q4 and FY '25, respectively. With ongoing investments in sales, marketing and infrastructure to support future growth, we believe we have ample runway to accelerate our organic growth, while maintaining strong robust earnings. Annualized recurring revenue, or ARR, accelerated 300 basis points quarter-on-quarter to 17% and ARR increased 21% in US dollars. We delivered healthy subscriber additions in Q4 while maintaining strong unit economics. Our results reflect our ability to grow at scale with discipline. Our Q4 financial highlights included Cartrack subscription revenue accelerated 200 basis points quarter-on-quarter to 16%; Cartrack subscription revenue increased 20% on a US dollar basis; Southeast Asia constant currency revenue growth accelerated to 31% compared to 26% in Q3. Cartrack's operating profit margin was a robust 34%. We remained a rule of 60 company and Karooooo's adjusted earnings per share increased 39% to ZAR9.48. Our balance sheet remains strong and unleveraged and we ended the quarter with net cash and cash equivalents of ZAR838 million. Our healthy subscription gross margin, efficient customer acquisition and attractive commercial retention rate continue to drive our healthy unit economics. In Q4, our subscription gross margin was 76%, our LTV to CAC ratio remained above 9 and our commercial retention rate was 95%. It's noteworthy that we accelerated our subscriber growth by 200 basis points in FY '25, while maintaining healthy unit economics. We are excited about our massive TAM and remain committed to profitable growth as we pursue the expansive growth opportunity ahead of us. We ended FY '25 with more than 1.7 million subscribers in South Africa, representing 75% of our global subscriber base. Our recent investment in a newly built central office supports our long-term growth strategy in the region by enabling us to scale operations, enhance customer service and drive deeper platform penetration within our existing customer base. We are optimistic about the future of our business in South Africa, driven by ongoing digital transformation, rising demand for video solutions and the market expanding impact of Cartrack Tag. With a trusted brand and an experienced team, we're well-positioned for continued success in South Africa. We are encouraged by the strong momentum that we are building to accelerate our organic growth in the region. We ended FY '25 with more than 274,000 subscribers in Southeast Asia and the Middle East, with most of the subscribers in Southeast Asia. Southeast Asia and the Middle East comprise 12% of total subscribers. In Q4, our constant currency subscription revenue growth in the region reached an impressive 31%, an acceleration compared to 26% in Q3. As the second largest contributor to Group revenue, Southeast Asia continues to present the most compelling growth opportunity for the Group in the medium to long-term. In September 2024, we started a strong yet prudent drive to increase sales and marketing in Southeast Asia and believe that we will begin to see results in FY '26. We aim to increase our sales headcount by 70% in FY '26 in the region. Our differentiated SaaS platform, growing brand equity built on superior customer service, service delivery and distribution, and attractive regional macro trends provide us with a solid foundation to drive continued growth and expansion in the region for years to come. We ended FY '25 with more than 200,000 subscribers in Europe, which comprised 9% of our total subscribers. Our subscriber growth in the region accelerated 100 basis points quarter-on-quarter to 20% in Q4. We remain focused on increasing our presence in the region, especially through OEM partnerships. We have partnered with leading OEMs to provide easy access to our platform, seamlessly integrating their connected vehicle data into our platform through application programming interfaces or APIs. We expect these partnerships to contribute to our results in the medium term. In addition, we are experiencing encouraging demand for our proprietary compliance technology in the region as customers seek to simplify compliance with evolving legislation and enforcement. In FY '25, Karooooo Logistics continued to build scale and delivered revenue of ZAR420 million, an increase of 33% and a 9% operating profit margin. By immersing our platform into large customers operations, contributing to strong customer retention, Karooooo Logistics also enables us to learn about the operational and logistics challenges confronting our large customers. We see a large opportunity for Karooooo Logistics going forward as large businesses seek to increase their ecommerce offerings and optimize their logistics capabilities through a capital light model. Our platform simplifies decision making by seamlessly unifying and contextualizing data from a wide range of sources, including OEM devices and proprietary devices, as well as open APIs. By consolidating business operations into a single centralized hub, we enable our customers to overcome complex operational challenges related to safety, compliance, productivity, service delivery, cost control, fuel management, maintenance, routing, resource allocation and workforce retention. Powered by our extensive data asset, advanced AI and robust analytics, our platform delivers actionable insights that drive meaningful improvements to our customers physical operations. We are deeply committed to continuous innovation, ensuring our platform remains intuitive, fast and adaptable to the ever evolving business needs of our customers. Simplicity is at the core of our solution, from implementation to daily use, helping customers make smarter decisions faster while driving ROI. The Cartrack operations cloud is an end-to-end SaaS platform that delivers significantly more than traditional telematics. By unifying mission-critical capabilities into one intelligent solution, we help customers enhance safety, boost productivity and reduce operating costs driving measurable ROI. Key platform capabilities include real-time telematics, fleet management and asset optimization, video and AI powered safety monitoring, field service and workforce management, risk management and compliance, last mile delivery and logistics management, seamless integration via open APIs and analytics and reporting. By delivering a unified feature rich platform, we empower our customers to scale efficiently, improve operational and financial performance and drive long-term growth. We remain deeply committed to investing in product innovation and Cartrack Tag exemplifies our commitment to innovation and expanding the power of our platform. In Q4, we launched Cartrack Tag, a next-generation wireless asset tag that extends our platform to any mobile asset in South Africa, delivering secure near real-time visibility even in areas with limited or no cellular coverage. Built for demanding commercial environments, Cartrack Tag helps businesses locate misplaced or stolen assets, reduce operating costs and simplify asset management. Powered by our proprietary RF network and cloud integration, Cartrack Tag offers tamper resistant protection. When paired with a Cartrack IoT device, it can detect signal interference and instantly alert both the asset owner and our 24x7 surveillance team, enabling rapid response and recovery. We're excited about Cartrack Tag's potential to deliver unparalleled asset protection, advanced risk management and expanded operational oversight. Its easy installation on a wide range of mobile assets such as trailers, generators, compressors, heavy machinery and large tools reduces friction to adoption and supports our committed TAM expansion across industries. Our customers choose us because we deliver tangible ROI by reducing costs and boosting productivity and enhancing safety through a user-friendly platform backed by a best-in-class service team. The value proposition of our platform is significant with a proven ability to create meaningful business impact. FY '25 was a year of strong execution, impactful innovation and significant progress. We accelerated customer acquisition, enhanced our platform with more advanced AI, video capabilities and other features and successfully launched the Cartrack Tag. We also continue to invest in strategic headcount expansion ensuring we are very well-positioned for durable long-term growth. Our solid financial performance and robust balance sheet underscore the strength of our operating model. We remain confident in our competitive positioning across regions and believe we are exceptionally well-positioned to accelerate our growth in FY '26. Looking ahead, our key strategic priorities for FY '26 are as follows: Cement our leadership position in the countries we have achieved scale; expand our distribution footprint in Asia and Europe; broaden platform adoption by driving deeper customer engagement with our platform; and capturing growing demand for video capabilities including AI video. Capital allocation is a fundamental part of our culture and we aim to remain disciplined with our capital allocation strategy rooted in a 20-year culture of profitable growth and prudent financial management, key drivers of long-term shareholder value. Our capital allocation framework is unchanged and prioritizes organic growth and innovation. Our paramount priority is investing in organic growth and product innovation, given our strong unit economics, sustained profitability and large market opportunity, returning capital to shareholders. At current growth rates, our business generates significant excess cash. With our strong balance sheet and net cash position, we aim to return surplus capital to shareholders when we cannot efficiently invest it for growth, primarily through an annual dividend. As to avoid doubt, management prioritizes growth over dividends. Strategic M&A, we take a prudent and strategic approach to M&A. We view M&A as a tool to accelerate time to market in key geographies, expand our product portfolio or strengthen our competitive position. However, given our compelling organic growth profile, customer-centric culture and attractive unit economics, we set a high bar for any potential acquisitions. M&A opportunities must offer clear strategic value or optionality to meet our criteria. Ultimately, we see it as our responsibility to allocate capital thoughtfully, always with the goal of maximizing long-term shareholder returns. I will now hand it over to Hoeshin who will discuss our Q4 and full year FY '25 financial performance as well as our outlook for FY '26.
Hoeshin Goy: Thank you, Carmen. I will now discuss Karooooo's financial performance for quarter four FY '25 and the full year FY '25. Please note my comments will refer to year-over-year comparisons unless we state otherwise. Our proven and profitable SaaS business model continue to deliver strong results in quarter four. Karooooo's total subscription revenue increased 16% to ZAR1.86 million. On a US dollar basis, Karooooo subscription revenue increased 20%. Operating profit increased 30% to ZAR385 million, and adjusted earning per share increased 39% to ZAR9.48. For FY '25, Karooooo's total subscription revenue increased 15% to ZAR4.68 million. On a US dollar basis, Karooooo's subscription revenue increased 19%. Operating profit increased 26% to ZAR1,312 million. Adjusted earnings per share increased 33% to ZAR31.67. We will now focus on Cartrack's financial performance which is fueled by SaaS revenue momentum. In quarter four, Cartrack subscription revenue increased 16% to ZAR1.84 million and comprised 98% of Cartrack's total revenue. On a US dollar basis, Cartrack subscription revenue increased 20%. For FY '25, Cartrack subscription revenue increased 15% so to ZAR4.55 million and comprise 98% of Cartrack's total revenue. On a US Dollar basis, Cartrack subscription revenue increased 19%. In quarter four, ARR increased 17% and 21% in rand and US dollar, respectively. As you can see from the trend of the charts, Cartrack has a proven track record of scaling in varying macroeconomic conditions given our consistent executions, resilient subscription revenue model and attractive historical retention rates. In quarter four, Cartrack experienced healthy customer acquisitions and quarter four subscriber increased 17% to ZAR2.3 million. Subscription revenue increased 16% to ZAR1.84 million and operating profit increased 30% to a record ZAR377 million. Cartrack experienced solid customer acquisition in quarter four, with net subscriber additions of about 79,000, an increase of 25%. For FY '25, net subscriber addition exceeded 330,000, an increase of 30%. Cartrack continues to grow its subscription revenue across geographies. Most notably in quarter four, our Asia and Europe constant currency subscription revenue growth was 31% and 19%, respectively and we are encouraged by our momentum in both regions. South Africa subscription revenue growth was 15% in quarter four and we remain excited about the opportunity in this region. Cartrack continues to grow its subscription revenue across geographies. Most notably in quarter four, our Asia and Europe constant currency subscription revenue growth was 31% and 19%, respectively and we are encouraged by our momentum in both regions. South Africa subscription revenue growth was 15% in quarter four, and we remain excited about the opportunity in this region. We are proud of the momentum in our business highlighted by the underlying acceleration in FY '25. Most notably Cartrack subscriber growth accelerated 200 basis points in FY '25 to 17% reflecting strong execution, investment in sales and marketing and a broader distribution footprint. SaaS ARR also accelerated 100 basis points to 17% in FY '25. Karooooo's adjusted earnings per share increased 39% to ZAR9.48 in quarter four, driven by higher subscription revenue, expanding gross margins and disciplined expense management. For FY '25, Karooooo's adjusted earning per share increased 33% to ZAR31.67. In quarter four, Cartrack adjusted earnings per share increased 42% to ZAR9.28 and Karooooo Logistics earnings per share increased 54% to ZAR0.20. For FY 25, Cartrack adjusted earning per share increased 25% to ZAR30.90 and Karooooo Logistic earnings per share increased 60% to ZAR0.77. In FY '25, we continue to generate significant free cash flow. Adjusted free cash flow was ZAR425 million. In quarter four, we proactively scaled up our IoT device investment to meet anticipated demand. We also made additional growth-oriented investment that impacted working capital and other property, plant and equipment, further influencing adjusted free cash flow in quarter four. Importantly, we experienced an acceleration in subscriber growth. This performance underscore the soundness of our strategy and reflects disciplined executions. As our growth accelerates, it's natural that capital expenditure and strategic investment temporarily increase as a percentage of revenue to support the planned growth. When we stabilize at a higher growth rate, we also expect adjusted free cash flow to normalize at higher levels. To be clear, the recent decline in quarterly adjusted free cash flow does not indicate a structural issue with our ability to generate strong free cash flow. The decline is a result of deliberate investment made to support growth, as evidenced by our growth in quarter four and our outlook for accelerating Cartrack subscription revenue growth. The adjusted free cash flow generated is in line with Karooooo's disciplined capital allocation strategy and support our future growth. Our balance sheet reflects our track record of growth at scale, profitability and cash generations. Our net cash on hand plus cash in bank fixed deposits was ZAR838 million. We expect our disciplined approach to capital allocation coupled with our earnings and free cash flow growth to continue to bolster our strong balance sheet. Debtors' collection days remain extremely healthy and within our historical norms at 32 days. Last August, we paid a cash dividend of $33.4 million or $1.08 per share to our shareholders. The dividend per share increased 27%. We have strong unit economics, robust operating margins, an unleveraged balance sheet and attractive cash conversions. We remain confident that our track record of consistent execution and success, especially our ability to generate healthy cash flow is sustainable. We are proud of our execution in financial year 2025 as we comfortably met our outlook. Moving on to our outlook for financial year 2026. Over the last several years, COVID and the challenges associated with the post-COVID labor market negatively impacted our growth. In financial year 2025, we accelerated the pace of our Cartrack subscriber growth. In financial year 2026, we aim to continue accelerate Cartrack subscription revenue growth by expanding our distribution footprint in existing market, driving broader platform adoptions and capitalizing on growing demand for our solutions. With that said, our guidance for financial year 2026 is as follows: Cartrack subscription revenue between ZAR4,700 million to ZAR4,900 million which implies Cartrack subscription revenue growth between 16% to 21%. Cartrack's operating profit margin between 26% to 31% and Karooooo's earning per share between ZAR32.5 to ZAR35.5. As we expand our distribution footprint in existing market, we expect lower earnings per share growth in financial year 2026 given our planned upfront investment in sales and marketing for the year. Our strong and proven track record of disciplined execution, sustained growth at scale and highly profitable business model is supported by a solid balance sheet and a healthy cash position. We believe our ongoing investment in AI, platform innovation and customer experience will continue to drive durable growth and robust result. We are excited about the year ahead. With that, I will turn the presentation over to Zak Calisto for Q&A.
Zak Calisto: Hello, good morning, good afternoon, good evening. Thank you everybody for joining us today. I will go through the questions. I'll start off the first questions from Dylan from William Blair. Hi, team. Handful of questions below. And question one, Cartrack Tag launch use cases. You've seen receptivity of the product and now you're looking and thinking about the opportunity to drive incremental adoption of this product within the core subscription base. Dylan, we've only put up the infrastructure in Southern Africa so that infrastructure goes all the way from Cape Town up till about Kenya. We've started very successfully providing the product to our customers. It's been taken up really well by both businesses and by consumers in South Africa, and I believe it's got traction. It's very robust. We've we now feel very comfortable that we already reaching quite a substantial amount of scale. So, we feel very comfortable it was the right decision that we took and that once it's working well we can then decide which is the next region that we can do the same, and it would probably be Asia. Drivers for acceleration for 2026 [indiscernible] offering. But how would you think about components growth algorithm between subscriber count from new logos, incremental product upsell and AI Cameras, camera tag and asset to existing customers and rollout incremental assets. We have planned that in FY '26, we haven't given an outlook on subscribers, because we've decided that this year specifically in Southern Africa we're going to be very much focused on the tag, we're going to be focused on the video, we're going to focus on a lot of other sales to existing customers because we need to -- we've got the footprint into the customers, so we need to now enhance the customer offering. So that's going to be our primary focus in FY '26 and we believe that will lead definitely to ARPU. We expecting an increase in ARPU by year-end of about 10%. Hiring, how are you thinking about the opportunity for added capacity here and where are you in the ramp maturation of existing Salesforce across three regions as they look increasingly own the entire customer footprint. I think as we continue to hire, we now have got more than 5,000 employees. I think this is an ongoing challenge because if you want to grow and you want to accelerate your growth -- if you for instance, typically the mathematics behind it would be if you increase, for instance, in Asia, 70% of your Salesforce in a perfect world that should give you about 70% net ads. 70% net ads is probably to definitely increase the subscriber growth. But that just can -- you can sort of see the compounding effect. So, this year we -- last year we increased our staff by about 1,000 people. We expect in this year we could do as much as 1,500 people. So, it's an ongoing exercise. But I certainly believe that we started to get really good traction in the last six months and I believe in FY '26 we'll continue that good traction. Regions, continued strength in South Africa, acceleration in Europe, strong momentum in Southeast Asia. Anything to call out relative to each of the core markets in enabling sustained broad-based success. We focus on all the regions. I think all our regions offer a huge opportunity for growth over the long-term or we believe Asia's got the best -- it's the biggest market with the highest growth opportunity. But I believe we'll get good growth in FY '26 from all the regions. Next question from Alexander Sklar, calling for an impressive acceleration growth outlook for FY '26. What is giving you the confidence on being able to execute on the sales hiring plans? Alex, the reality is we saw good momentum in the last six months, and we really believe that we're going to get even accelerated momentum during FY '26. I think the work from home culture that we saw globally, I think most companies have realized that that doesn't actually work. So that plays exactly into the way we operate our business. We've never had a culture of work-from-home and now that I believe it's normalizing to pre-COVID, I believe that we'll have less headwinds in hiring people. Second question. How would you think about potential blended ARPU growth in cameras? As I said before, we expecting about a 10% increase in our ARPU during FY '26. Really [indiscernible]. You ended the period with net cash of about ZAR840 million and no dividend declared. What is your thinking about the net cash balance? Really, we remain very much focused that, it's all about how quickly can we allocate this capital for shareholders, because our return on investment is very high and we will deploy as much capital as we can to customer acquisition. Failing which we will return any excess cash that we believe the Board will look at it and to shareholders. Typically, we look at this at the end of Q1 and we typically have in the past decided whether we pay a dividend or not in Q2 and we pay the dividend also in Q2. Typically, this is how we've done it in the past. As a follow up question from Rudy [ph], what is your current view on share buybacks? And I think share buybacks, it's very difficult with a low liquidity. We've tried to do it earlier on with little success. So, I think we must put our focus into other things at this point in time. We weren't very successful given the low liquidity. Another question from Alex. Total APAC net subscribers added FY '25 are slightly down versus the FY '24 levels. Is there anything you'd call out in the market, and how do you feel about the existing sales productivity in those markets, embark on great hiring. I think the sales productivity in Asia was strong and we certainly believe as we hire more people that the sales productivity will probably take a little bit of a dip until typically these salespeople have been with us for over six months. And then I believe we'll get productivity even in the sales that -- salespeople that we all hire. In the first two months of the year, we've done very good progress already in the first two months. Alex, with 10% ARPU growth outlook, is there any like-for-like pricing increases for the core bundle plant or just camera tag attached growth? It's mostly on the back of camera and the tag growth. So, to get a 10% increase you obviously can only sell to a small percentage of your base and it's -- and we expect a small percentage of our base to take up the products in year one and year two, and as we progress that should increase further.
Zak Calisto: I think that's all the questions for today. Thank you very much everybody that's joined us. Thank you. Bye-bye.